Operator: Ladies and gentlemen, thank you for standing by. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Tidewater Inc. First Quarter 2023 Earnings Conference Call. [Operator Instructions] It is now my pleasure to turn today's call over to Mr. West Gotcher, Vice President of Finance and Investor Relations. Sir, please go ahead. 
West Gotcher: Thank you, Brent. Good morning, everyone, and welcome to Tidewater's Q1 2023 Earnings Conference Call. I'm joined on the call this morning by our President and CEO, Quintin Kneen; our Chief Financial Officer, Sam Rubio; and our Chief Commercial Officer, Piers Middleton.
 During today's call, we'll make certain statements that are forward-looking and referring to our plans and expectations. There are risks and uncertainties and other factors that may cause the company's actual performance to be materially different from that stated or implied by any comment that we are making during today's conference call. Please refer to our most recent Form 10-K and 10-Q for additional details on these factors. These documents are available on our website at tdw.com or through the SEC at sec.gov. Information presented on this call speaks only as of today, May 9, 2023, therefore, you're advised that any time-sensitive information may no longer be accurate at the time of any replay.
 Also during the call, we'll present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures can be found on our website at tdw.com and is included in yesterday's press release. And now with that, I'll turn the call over to Quintin. 
Quintin Kneen: Thank you, West. Good morning, everyone, and welcome to the First Quarter 2023 Tidewater Earnings Conference Call. Before we get into the quarterly results, I want to start out the call by briefly updating you on our recently announced agreement to acquire 37 highest classification PSVs from Solstad Offshore and our assessment of the recent market volatility on the outlook for our industry.
 As we talked about on the call we hosted to announce the acquisition, we are acquiring the Solstad PSV fleet for $577 million. We mentioned that we plan to finance the purchase of the acquisition through a $325 million bank facility led by DNB, incremental new debt and cash on hand. We continue to monitor the commercial banking and debt capital alternatives to optimize the cost of capital and financial flexibility. We are confident in our ability to finance the acquisition and expect the acquisition to close by the end of the second quarter.
 The unique aspect of the recent market volatility has been that it hasn't had an impact on chartering activity or price discussions. Since 2024, anytime there has been a pullback in oil price or uncertainty in the global economy, it has been used to delay chartering decisions or, at the very least, to reset price talk. This has not happened this time, and we take it as a good sign that our customers and more importantly, our competitors realize that the world is short of all vessel types in all geographies.
 The first quarter was another positive period for the rapidly unfolding recovery in the offshore vessel market. The most important indicator of strength in our business, average day rate, continued its upward momentum during the first quarter with average day rates up $1,100 per day sequentially. Average day rates within the business are now up approximately $4,000 per day since the recovery began around the end of 2021.
 Every region and every vessel class, except for our smallest class of anchor handlers, experienced modest to quite significant day rate expansion during the first quarter. This is particularly notable as the first quarter is often the slowest quarter of the year due to seasonality in certain markets, calendar year budgets and the nature of contracting by our customers.
 The lack of available vessels globally against a backdrop of growing demand continued to push up global average day rates. During the first quarter, we entered into 51 term contracts for 44 vessels. The average day rate for the contracts associated with the subset of vessels was over $21,000 and this subset is a good representation of the entire fleet. The average duration of these contracts was about 7.5 months, which provides the opportunity to push day rates upward again as these contracts roll off into a market that continues to tighten.
 The leading-edge composite average day rate of $21,000 per day is 44% above the average day rate for the first quarter and the leading reason why we continue to have confidence in the revenue and vessel gross margin guidance for the year. While day rate performance and chartering activity remained strong during the first quarter, as mentioned earlier, we did experience the expected seasonality that occurs during the first quarter of the calendar year. Active utilization declined about 1.9 percentage points sequentially to 80.6%, principally driven by seasonal factors in the North Sea and the Mediterranean.
 Further, given the calendar year budgeting and chartering practices of many of our customers, we took advantage of what is generally a slower period to maximize the number of dry docks in the first quarter, so as to prepare those vessels for the busier periods during the second, third and fourth quarters of this year. As such, dry dock days were up about 41% sequentially and dry dock expense was $31 million. Our calendar year dry dock guidance remains unchanged at $77 million.
 For the first quarter, revenue increased about 3% to $193 million, compared to $187 million in the fourth quarter. Average day rate was up about 8% sequentially. Vessel level cash margin expanded 2 full percentage points to right at 40%. Our Americas fleet led the way with an 8% sequential improvement in day rate and 5 percentage point improvement in active utilization with the Caribbean and Mexico subregions showing particular strength. Vessel level cash margin improved considerably during the quarter, up 8 percentage points sequentially to just under 41%. We are quite excited about the outlook for this region, particularly the Caribbean as this is a market that requires large vessels and continues to show material improvements in both near-term and long-term activity. 
 The recovery in the Asia Pacific region has lagged the rest of the other global offshore geographies. However, we've begun to see momentum emerge in this market as well. Day rates were up around 32% during the quarter, with significant improvements in both Southeast Asia and Australia. Active utilization did decline during the quarter, but that was principally due to intra-regional mobilizations and dry dock days. The decline in utilization due to this frictional unemployment was more than offset by the day rate increases with revenue increasing 15% sequentially and vessel operating margins increasing nearly 16 percentage points to 43%.
 West Africa continued to show strong day rate increases during the year. Day rates improved 6% sequentially to just over $13,000 per day, now up about 48% from the same period in 2022. Vessel level cash margin was essentially flat during the quarter as active utilization ticked down to 77% from 82% in the prior quarter. This drop in utilization was due to a handful of vessels mobilizing within the region and an increase in dry dock days. We expect utilization to rebound through the year, and we remain optimistic on the West Africa market in general, a combination of significant existing activity in the region along with new development and greenfield activities in areas such as Namibia, Senegal and Equatorial Guinea.
 Turning to the European and Mediterranean region. Seasonality did play a factor during the first quarter with active utilization dropping to about [indiscernible] from 88% in the prior quarter. Revenue declined about 7% sequentially and vessel cash margin declined nearly 3%. However, the average day rate improved during the quarter by about 2%.
 Interestingly, during the quarter, spot day rates for anchor handler vessels showed unusual day rate strength with a few incidents of spot vessels achieving day rates north of $150,000 per day, signaling the general tightness in the anchor handler market. You may recall the North Sea experienced the highest anchor handler rates in the increased history during the third quarter of last year and based on the first quarter this year, we suspect those record day rates to be tested.
 Furthermore, current estimates for E&P capital spending as we enter 2024 and beyond in the North Sea, particularly in Norway as a result of the recently initiated tax incentive scheme are orders of magnitude higher than their current levels. Given the tight vessel supply market, along with substantial expected increases in demand, we are quite optimistic for the next few years in this geography. 
 Lastly, turning to our Middle East region. During the third quarter, the average day rate improved by 2% to about $9,700 per day and active utilization dropped modestly to 82.5%. Special cash margin came in right at 25%. Looking forward, expected capital spending by the major operators in this region continues to remain robust. This is a market where activity and capital spending have historically been fairly inelastic relative to global commodity prices. As such, the magnitude of spending and activity in this region is resulting in this market absorbing vessels from Southeast Asia. And as a result, the direct impact of additional activity in the region and the indirect benefits to areas like Southeast Asia should be meaningful over the coming years.
 Our G&A costs during the quarter totaled $23.5 million, which included approximately $1.4 million in professional fees and other transaction-related expenses associated with the Swire acquisition. Excluding these items, G&A totaled $22.1 million or about $88 million on an annualized basis. As it relates to synergies pertaining to the acquisition, I'm pleased to say we have successfully integrated the acquired business into Tidewater [indiscernible] essentially 90% of the G&A and OpEx synergies we originally anticipated when we announced the transaction. In fact, the G&A synergies have been fully achieved with some additional operating expense synergies to be achieved over the remainder of 2023. I'm thankful to our team for making this transaction and transition of big success.
 Free cash flow for the quarter was $9.9 million compared to free cash flow of $53.3 million in the fourth quarter. In prior quarters, we've talked about the build in working capital that occurs naturally as revenue increases as well as the build that's due to slower-than-anticipated customer collections. Overall, working capital in the first quarter actually remained fairly flat relative to the fourth quarter, although we remain focused on improving the accounts receivable collection times with our customers.
 The lower cash generation during the quarter was primarily attributable to dry dock and capital expenditures and about $20 million of cash tax payments given the relatively lower remaining capital spend for the rest of the year and the onetime nature of a few of the tax-related items in the first quarter, we expect the cash flow performance to materially improve over the remaining quarters of the year.
 We ended the quarter with 3 vessels remaining in the held-for-sale category. We also have 5 vessels classified as stacked. We will evaluate the possibility of reactivating any of the remaining stacked vessels. For the remaining vessels held for sale, we are in active negotiations on 2 of the vessels and expect to close the sale of these during the second quarter. Vessel layup costs were $727,000 in the first quarter.
 In summary, we are very pleased with the continued momentum across our geographic regions and our vessel classes during the first quarter. And with that, let me turn the call over to Piers for an overview of the global markets and the company's performance within. 
Piers Middleton: Thank you, Quintin, and good morning, everyone. Last quarter, we talked about some of the availability constraints we saw strengthening the global OSV market during 2022 and that we expect those same constraints to follow through into 2023. And why with our modern larger fleet of PSVs and AHTS, we are well placed to take advantage of this continuing upturn in the market.
 These larger vessel classes of PSV and AHTS in particular, where the supply-demand balance is basically in parity with limited numbers of vessels expected to come back into the marketplace and where the barriers to entry are greater than in the smaller vessel classes. We're also still seeing limited dry docking space globally and significant long lead times for major equipment items which we believe will further exacerbate the already tight supply-demand balance in these larger vessel classes.
 This quarter, I will focus more on the demand side globally in the context of our regional performance in Q1 and what some of the demand drivers are expected to be going forward. Overall, the outlook for the offshore market remains positive with the sector well set for further improvement in 2023 and beyond. Expectations remain that offshore markets are set to tighten further in the coming months against the backdrop of continued demand side improvement and constraints in vessel supply, driven by rising investment by the offshore E&P operators who according to [indiscernible] are expected to lift CapEx in 2023 by another 14% to $183 billion compared to last year.
 On the rig side, according to Clarksons Research, jack-up demand is expected to grow by 6% in 2023, underpinned by various contract commencements in the Middle East and with floater demand projected to increase by 16% across 2023 on the back of elevated activity in the Golden Triangle of the Atlantic Basin.
 In addition, rig deployment in Northwest Europe is expected to also increase significantly in 2024 by 21%, driven primarily by offshore Norway, where a record $27 billion in new CapEx was committed to last year. Overall, global rig demand is projected to grow 8% in 2023, reaching 561 units by the end of 2023. Next year, rig demand is expected to increase by further 6%, reaching 593 units by the end of 2024. Rates for ultra-deepwater floaters averaged $383,000 per day during Q1 2023, an increase of 31% year-on-year and the highest level seen since Q1 2015, all very positive indicators for a robust future for the offshore space.
 Specifically related to our own fleet, we have started to see the increase in demand and shortness and supply impact rates positively on the upside. And even though Q1 is historically a softer quarter, the team still managed to push our fleet composite day rate up by almost $1,100 per day compared to Q4 2022 and just as impressively, our composite rate jumped over $3,900 per day compared to Q1 2022.
 Working through our various regions and starting with Europe. Whilst we have a normal seasonal softer quarter, the team still managed to improve our composite fleet rates compared to Q4 2022 from $15,364 per day to $15,669 per day and compared to Q1 2022. Rates improved by $3,545 per day across the whole region.
 The U.K. PSV market was a little slow to pick up in the first few months of the year. However, that was offset by stronger demand for larger PSVs in Norway as well as being held by all owners being prepared to hold rates which all in all managed to keep the PSV market better balanced than compared to Q1 2022. On the AHTS side, we also saw positive indicators that we can expect a strong summer season again as the large break course by AHTS market recorded leading-edge day rates in Q1, coming in at over GBP 100,000 per day level which was about 20% higher than compared to Q1 2022.
 Moving to Africa, which remains our biggest region. We again are seeing rising demand across the whole continent with particular focus in Angola, Namibia, Congo and Senegal, and we expect to see the floating rig count increase by a further 21 units by the end of 2023 in the region. In Q1 2023, the composite fleet rate improved by $775 per day from $12,272 per day in Q4 2022 up to $13,047 per day, with the majority of the day rate improvement in the quarter coming from our larger 16,000 BHP class AHTS and sub 900 square meter class PSV.
 However, compared to Q1 2022, we saw the total composite fleet rate increased by over $4,000 per day in Q1 2023 with every class of vessel contributing.
 In the Middle East, Saudi Arabia remains a dominant country in the region, as well as one of our key areas of focus for the fleet. But we are also seeing an increase in activity in the region, including in India as the whole region looks to add more production. Jack-up rig demand in the Middle East has grown by 29% since the start of 2022 and currently stands at a record 148 units with further gains expected as units fixed last year continue to commence their contracts. The demand in the Middle East projected to grow by an additional 8% for the rest of 2023.
 In what is our most challenging region competition-wise, the team still managed to increase our total composite fleet rate by 2% from $9,498 per day in Q4 2022 to $9,679 per day in Q1 2023, which is also up over $1,500 per day compared to Q1 2022.
 In the Americas, we saw a lot of demand in Brazil in Q1 from Petrobras with the NOC report to have awarded up to 20 new PSV contracts in Q1 with the expectation of a further 20-plus contracts to be awarded by year-end. With the recurring theme of limited domestic tonnage to meet this demand, we do expect to see larger PSVs and AHTS sucked into Brazil from other regions of the world. Elsewhere in the region, Guyana and Suriname continues to see strong demand for rigs and vessels, both in the first half of the year and going forward.
 In Q1 2023, our Americas fleet continued to perform strongly and the team were able to push composite fleet rates by 8% from $18,271 per day in Q4 2022, up to $19,794 per day in Q1 2023, which was up over $4,000 per day compared to Q1 2022.
 Lastly, in Asia Pacific, Malaysia, Taiwan and Australia were the key drivers of demand in the region in Q1, and we expect those countries to drive demand through the rest of the year. According to [indiscernible] we do expect to see a rebound of sanctioning activity in the region to a 7-year high of nearly $14 billion in 2024, driven by further investments in Indonesia, Vietnam and Brunei which will continue to tighten supply in the region as we move out beyond 2023 and into 2024.
 In Q1 2023, the Asia Pacific team also continued to perform strongly and composite rates in the region increased 32% from $17,868 per day in Q4 2022, up to $23,582 per day in Q1 2023. All in all, a very impressive performance for the quarter.
 Overall, as mentioned by Quintin, we are very pleased with how the market has continued to move in the right direction in Q1 2023. And that we expect that positive momentum to continue into subsequent quarters with all signs being that we do not see any significant slowdown in demand in any of the regions in which we operate. With that, I'll hand over to Sam. Thank you. 
Samuel Rubio: Thank you, Piers, and good morning, everyone. At this time, I would like to take you through our financial results. In my discussion, we'll focus primarily on the quarter-to-quarter results of the first quarter of 2023 compared to the fourth quarter of 2022. 
 As noted in our press release filed yesterday, we reported net income of $10.7 million for the quarter or $0.21 per share. In the first quarter of 2023, we generated revenue of $193.1 million, compared to $186.7 million in the fourth quarter of 2022, an increase of 3.4%. Active utilization decreased marginally from 82.5% in Q4 '22 to 80.6% in the current quarter. Average day rates increased significantly from $13,554 per day in the fourth quarter to $14,624 per day in the first quarter, which was the main driver for the increase in revenue, considering the decrease in utilization and 2 less operating days in the quarter. 
 Vessel margin percentage for Q1 increased to 40% from 38% in Q4. Vessel margin in Q1 was $75.7 million, compared to $69.6 million in Q4 '22. Adjusted EBITDA was $59.1 million in Q1 '23 compared to $51.2 million in Q4 '22. This is a positive result as the first quarter is traditionally the weakest quarter in our fiscal year due mainly to the seasonal weakness in the North Sea. 
 Vessel operating costs for the quarter were $115.5 million, which was the same amount in Q4. In the quarter, we saw an increase in R&M costs and fuel costs related to the mobilization of 13 vessels, which resulted in 289 mobilization days. This increase was offset by the decrease in crew salaries and travel costs as we continue to realize synergies as part of the SPO acquisition. Our vessel operating costs per marketing day was $7,078 in the first quarter, compared to $6,945 per day in the fourth quarter. Additional fuel cost incurred for mobilizing our vessels added approximately $300 per day to our operating cost, and a good portion of that fuel is spilled back to our customer. 
 As mentioned previously, we continue to realize identified operating synergies associated with the SPO acquisition. Our original target was $25 million and to date, we have realized 80% of that goal. We anticipate the remaining synergies to be realized by the end of 2023. 
 As we look to the remainder of the year, based on our most recent forecast, we continue to estimate total 2023 revenues to be in the range of $890 million to $910 million and our vessel margins to be between 49% and 51%. In the quarter, we sold 5 vessels, all of our assets held for sale. All of our assets held for sale for net proceeds of $5.4 million and recorded a net gain of $1.9 million on the sale of these vessels. We generated operating income of $24.5 million for the first quarter of '23 compared to $13.1 million in Q4 '22. The increase is due primarily to the higher revenue, coupled with lower general and administrative costs. 
 G&A costs for the quarter was $23.5 million, $5.1 million lower than Q4 '22. G&A for the fourth quarter included $5.2 million in transaction costs associated with the SPO acquisition. G&A costs in the first quarter included about $1.4 million of transaction costs. Legacy SPO G&A costs for the quarter was $2.4 million, which continues to be well below our expectations of $8.8 million per quarter. On an annual basis, that equates to approximately $20 million -- $26 million in savings which is above our synergy target. 
 We expect our G&A costs for 2023 to be approximately $87 million. In the quarter, we incurred $31.1 million in deferred dry dock costs, compared to $12.1 million in Q4. The first quarter is traditionally our heaviest dry dock quarter as we take advantage of more seasonality. The quarter spend also includes approximately $3 million of purchases pull forward for future dry docks to be performed later in the year. 
 In the quarter, we incurred 694 dry dock days, which affected utilization by 4%. Dry dock costs for the full year to 2023 is still expected to be about $77 million. In Q1, we also incurred about $8.7 million in capital expenditures related to vessel modifications, including battery installations, IT upgrades and fuel monitoring systems. The battery installation of approximately $3.3 million will be reimbursed by our customer. Similar to the dry dock spend, we incurred approximately $300,000 of costs related to future projects and an additional $700,000 of costs that will be reimbursed by our customers for modifications done on one of our vessels. 
 For the full year '23, we expect to incur approximately $14 million in capital expenditures. We generated $9.9 million of free cash flow for this quarter as cash flow in Q1 was affected primarily by the higher dry dock and CapEx spend. In addition, we paid approximately $9.5 million in taxes related to historical SPO operations, of which $3.1 million will be reimbursed by SPO in Q2. Working capital remained relatively flat for the quarter. And even though we do expect to invest in working capital as revenue continues to grow, we will manage this investment as tightly as possible. We did see a higher-than-normal spend in CapEx in dry dock this quarter, and taxes paid were also high due to the Legacy SPO tax payments. However, we expect the cash flow performance to significantly improve as the business continues to accelerate. 
 In Q4 2019, we began reclassifying vessels on the balance sheet from property and equipment to assets held for sale. We have since to run 88 vessels through this program. At the end of Q1 '23, we had 3 vessels remaining in assets held for sale at a value of about $700,000. During the quarter, as mentioned previously, we sold 5 vessels from assets held for sale for proceeds of $5.4 million. 
 I would now like to focus on the performance of the regions. Our Americas region reported operating income of $8 million for the quarter compared to operating income of $3.2 million in Q4 '22. The region reported revenue of $47.7 million in Q1 compared to $41.8 million in Q4. The region operated 31 active vessels in the quarter, which was unchanged from Q4. Active utilization for the quarter was 85.2%, 5 percentage points higher than Q4. Day rates increased 8.3% to $19,794 per day from $18,271 per day in Q4. The improvement in operating income was due primarily to the increase in revenue. 
 For the first quarter, the Asia Pacific region reported an operating profit of $5.6 million compared to an operating loss of $800,000 in Q4. The region reported revenue of $22 million in the first quarter compared to $19.1 million in the prior quarter. The region operated 13 active vessels, which was down one vessel on average compared to Q4. The higher operating income is due to the increase in revenue, coupled with the reduction in operating costs as one less vessel operated in the region. Active utilization decreased to 77.8% in the quarter, compared to 79.5% in Q4. The region was impacted by 59 dry dock days, contributing to a 5% reduction in utilization. 
 However, day rates increased by 32%, which is a substantial increase to $23,582 per day in Q1 compared to $17,868 per day in Q4. 
 For the first quarter, the Middle East region reported an operating loss of $344,000 compared to an operating profit of $492,000 in Q4. The region remained steady quarter-over-quarter and reported revenue of $30.8 million in the first quarter compared to $30.6 million in the prior quarter. The region operated 43 vessels, the same as Q4. Active utilization remained the same at 83% in the quarter. Day rates increased $9,679 per day in Q1 compared to $9,498 per day in Q4. The decrease in operating income was due primarily to the increase in operating expenses, in particular, higher mobilization expense and substitute vessel costs incurred as we modified some of our own vessels for the work in the region. 
 Our Europe and Mediterranean region reported operating income of [ $3 million ] in Q1 compared to operating income of $3.9 million in Q4. The typical seasonality occurred in Q1 as we saw revenue decrease to $31.3 million compared to $33.5 million in Q4. The region operated 27 vessels in the quarter, the same as Q4. Active utilization decreased to 83.4% compared to 87.8% in Q4. The decrease in utilization was due to seasonality as there is less activity in the [indiscernible] months. In addition, we had 22 additional dry dock days in the quarter. However, even with the seasonality, we saw an increase in day rates at 2% to $15,669 per day compared to $15,364 per day in Q4. The decline in operating income for the quarter was mainly driven by the decrease in revenue, offset by slight lower operating expenses. 
 Our West Africa region reported operating income of $17.2 million in Q1 compared to operating income of $18.3 million in Q4. Revenue for Q1 was $59.5 million compared to $60.2 million in Q4. The region operated 66 vessels on average in Q1, 1 more than in Q4. Active utilization decreased to $76.6 million in Q1 from $81.7 million in Q4. The region incurred 122 additional dry dock days and 91 additional mobilization days in the quarter which contributed to the decrease in utilization. Day rates continue to increase as we saw a 6.3% increase to $13,047 a per day in Q1 from $12,272 per day in Q4. The slight decrease in operating income from Q4 resulted from the lower revenue. 
 In summary, we're pleased with our Q1 results. Q1 results will typically be lower, which is expected as the seasonality occurs in the North Sea. In the quarter, we also mobilized 13 vessels and had a high number of dry dock days that affected our overall results. We are encouraged to see the continuing increases in revenue throughout the year driven by higher day rates. During 2022, we reactivated many of our previously stacked legacy Tidewater vessels and acquired 49 vessels with the Swire transaction, all of which will now put us in a strong position to take advantage of the upturn in the industry. 
 We remain encouraged by the leading indicators we see for the remainder of 2023 and beyond. With that, I'll turn it back over to Quintin. 
Quintin Kneen: Thank you, Sam. In closing, I want to mention some of what we see for the remainder of 2023. For the full year 2023 for Legacy Tidewater, we reiterate our revenue guidance of $900 million and vessel operating margin of 50%. We are in a unique period where revenue will be accelerating each quarter of the year, outstripping the typical impact of calendar year seasonality. Relative to the first quarter, we anticipate revenue increasing approximately $25 million in the second quarter and $50 million in the third quarter. We have about 95% of the charter hire revenue already booked for the second quarter and about 75% for the third quarter, where we do have vessel availability, it is in the larger PSV and larger anchor handler classes and both classes we anticipate being very strong in the third quarter. 
 Given the current strength of the market, tight vessel supply and our outlook for the business moving forward, we feel quite confident in our outlook for the remainder of 2023 and remain excited about the ability to continue this level of incremental improvement in 2024. And with that, Brent, we will open it up for questions. 
Operator: [Operator Instructions] Your first question is from the line of Ina Golikja with Fearnley Securities. 
Ina Golikja: Congratulation for very strong quarter, as you mentioned despite seasonality. I had a couple of questions regarding -- well, let's start with the 37 PSVs to be acquired from SOFF. You mentioned that you are looking at different options. And I was just wondering if you could just give a little more color on what you call acceptable financing. 
Quintin Kneen: So acceptable, of course, is a judgmental term, but we're looking for the best rates and the best flexibility we can find. We're actively seeking things in the Norwegian debt capital markets as well as in the U.S. debt capital markets, and we'll continue to evaluate those opportunities with the bilateral type of arrangements that are also available there. So compared to a year ago, I would say that the debt capital markets are much wider open than they were even when we did the 2021 refinancing on the Norwegian bond. So the debt capital markets look good. There's certainly been a little chaotic over the last few weeks as we've gone through this banking sector crisis. But I do feel that based on what we see out there today that we will find an acceptable financing solution for this particular transaction. 
Ina Golikja: And I was wondering a little bit on, recently, you gave the guidance, you reiterated the guidance when it comes to the revenues and previously in the previous conference and previous calls, you have mentioned that you expect, say, an uptick in day rates year-on-year of around $3,000 per day. So I was wondering if keeping into account the SOFF PSV fleet to be acquired if you're still looking at that kind of yearly incremental day rates from, say, '23, '24? 
Quintin Kneen: Yes. So what we see is that we would acquire with the Solstad transaction is very consistent with what we are anticipating the all-in average day rates for the Tidewater business as we go through the remainder of 2023. So very consistent there. They are certainly locked up into '24 and some units at '25 to '26. And so as a result, I expect that the overall fleet will accelerate faster than those day rates that are already locked up. But by the time we get there, I'm really excited to renegotiate those contracts and roll them over in '24 and '25. So -- but yes, the -- as I look at '23, no change in the guidance. I see what has been locked up for Solstad is very consistent with what we anticipate doing for ourselves at Tidewater stand-alone. As we go into '24 and '25, the fleet that's not locked up will probably accelerate much faster than what's already booked for Solstad. 
Ina Golikja: And as you mentioned, let's say, the strong market for Anchor handlers in North Sea. I was wondering if you could give me some indication of how much do you have available in spot in the North Sea, both Norwegian and U.K. side for the second and third quarter, just roughly. 
Quintin Kneen: All right. Well, this one, I'm going to hand over to Piers because he's got a lot more of a handle on that than I do. So let me hand it over to Piers for an update on what's available on North Sea. 
Piers Middleton: Do you -- sorry, is that just related to the anchor handler? 
Ina Golikja: Yes, mostly it is for anchor handler as we are expecting, which is another strong summer. 
Piers Middleton: So the anchor handler we have in the North Sea are all on spot, so nothing is locked up. So they're available for the whole year. They have some work at the moment, but it's all on spot type work at the moment. So yes, hopefully, that answers the question. 
Ina Golikja: Yes. And my last one was that we noticed you had a very big increase in terms of average day rate in Asia Pacific. I was just wondering if you can comment or give a little more color on that specific region. 
Piers Middleton: So I take that again, Quintin? 
Quintin Kneen: Yes. 
Piers Middleton: Yes. So primarily, that's driven a lot by vessels which we've had fixed into Australia and Taiwan as well. We have been -- and we saw a number of vessels also rolling off some older contracts. So we were able to reset the rates. It's just a timing piece, it all just came together at the right time. And we've also got much larger PSVs [ and anchors ] in the region. So we're able to start to globalize the rates so that we start seeing the same rates we're charging for vessels in Africa, for instance, we're starting to push those into other regions as well into Asia Pacific as well. So it also came together as we went into Q1. 
Ina Golikja: Great. And the very last one for me is just if I got it correctly, you said that in the quarter, you have entered into 51 new contracts for 44 vessels. 
Quintin Kneen: Yes. 
Ina Golikja: At an average rate of $21,000 per day. 
Quintin Kneen: Yes. 
Ina Golikja: Right. And the leading edge rates that you're seeing around 28? 
Quintin Kneen: So for the composite of the fleet, the 21,000 is a very good round number for what is the leading edge for all 200 vessels. On the larger vessels, we're certainly topping out even over -- even into the high 30s, yes. 
Operator: There are no further questions at this time. I will now turn today's call back over to Mr. Quintin Kneen. 
Quintin Kneen: Well, thank you, everyone, and we look forward to updating you again in August. Goodbye. 
Operator: Ladies and gentlemen, thank you for participating. This concludes today's conference call. You may now disconnect.